Andrew Mackenzie: Okay. Welcome. Welcome to our results briefing. It's my first as CEO. I'm speaking in Sydney, and Graham Kerr, our CFO, he'll join us from London. Members of our group management committee are also with us: Mike Henry, Jimmy Wilson, Karen Wood and Geoff Healy in the front row; while, Dean Dalla Valle , Danny Malchuk and Peter Beaven joined by telephone. I'll first, let me point you to the disclaimer and remind you of its importance to today's presentation. Our strong financial results, including improved performance in the second half of the year and our well-developed plan, continue to deliver differentiated returns in our sector. We have reported record production for a number of our commodities, as well as substantial controllable and sustainable annualized cost savings of $2.7 billion with more to come. Our plan was secure a significant growth in free cash flow by extracting more value from existing operations, by investing through the cycle with greater capital efficiency and by further simplifying the portfolio. Capital and exploration expenditure will decline to $16.2 billion this year, and we'll direct capital even more selectively towards our major basins while continuing with measured investment at Jansen to de-risk the project and maintain the flexibility to enter the potash market only when the time is right. Our charter is central to everything we do. It details our purpose, strategy and values. Sustainability, our first value, means we are environmentally responsible, enhance the well being of our communities and put the health and safety of our employees first so that everyone of our 125,000 strong workforce goes home safely at the end of each working day. Over the past 8 years, we have reduced our total recordable injury frequency rate or TRIF by almost 50%; and during the financial year, our TRIF declined to record low of 4.6. However, I am deeply saddened that this year, 3 of our colleagues lost their lives at work. I offer my condolences to their family, their friends and colleagues. Broader health risks faced by our people include fatigue and noise, silica and diesel exhaust particulars. We aim to reduce them significantly. During the year, we recorded a 5.8% decrease in potential exposures to carcinogens and to airborne contaminants. Under abatement activities, of course, our greenhouse gas emissions to about remain below the benchmark of the 2006 financial year despite the significant growth of our business. We continue to contribute 1% of our pretax profit to community and environmental programs. Over the past 10 years, this has totaled $1.5 billion. The 2013 financial year was characterized by slowing global growth and weaker commodity markets, which reduced underlying EBIT by $8.9 billion. Producer currencies decoupled from commodity markets and failed to provide relief from low prices. In the second half of the year, underlying EBITDA increased by 14%. Underlying EBIT increased by 16%, and net operating cash flow increased by 85%, in part, because working capital fell by $1.1 billion. For the full year, underlying EBITDA decreased 16% to $28.4 billion. Underlying EBIT fell more as a percentage by 22% driven by nonrecurring items in our depreciation and amortization lines. Including exceptional items of $922 million, attributable profit declined 29% to $10.9 billion. Net operating cash flow declined 25% to $18.3 billion. Capital and exploration expenditure matched prior guidance of $22 billion. And our financial position was strengthened by major divestments, totaling $6.5 billion. This was a substantial premium to average market valuations. Finally, our progressive base dividend has increased by 4% to USD 1.16 per share despite continued volatility in the external market. And for the Australian-domiciled limited shareholders, this translates to a 17% increase in the final dividend at today's exchange rate for a payment of AUD 0.65 per share, fully franked. This emphasizes the value to our shareholders of the progressive base dividend at all points in the cycle. During the 2013 financial year, production of almost all of BHP Billiton's major commodities increased. To deliver growth in copper equivalent units of 7%, performance was underpinned by the 13th consecutive year of record production at Western Australia Iron Ore and by a 28% increase in copper production at Escondida. This high-margin volume growth was supported by a 76% increase in liquids production at our Onshore U.S. business and 19% increase in Queensland Coal production, a 7% increase in manganese ore production and with the ramp-up of Worsley record alumina production. Our business continues to gather momentum. Over the next 2 years, we are confident production will grow 8% per annum on a copper equivalent basis, and we expect further cost savings as we move forward with our drive for increased productivity. As the only company to offer broad-based exposure to steelmaking, metals and energy sectors, our strategy of diversification by commodity, geography and market has generated and will continue to generate distinctive returns for our shareholders. Over the past decade, we have delivered consistent growth in our higher-margin businesses, a compound annual production growth rate of 5% in copper equivalent units, an average EBIT margin of 41% and for our progressive dividend, a compound annual growth rate of 18%. In aggregate, we have returned $59.1 billion of cash to shareholders as much as the rest of the peer group combined. Graham Kerr will now cover our financial results in more detail, and I will then return to outline our plan for substantial growth in free cash flow and high returns from fewer incremental investments. Welcome, Graham.
Graham Kerr: Thank you, Andrew. I'm pleased to be here today to present our results for the 2013 financial year. First, I want to reflect on the last 18 months, a period characterized the weaker commodity prices and cost pressures for the industry. How did we respond? We attacked our cost base and redefined our capital priorities. As a consequence, we reprioritized iron ore growth in Harbour in the Pilbara, returned the Olympic Dam expansion project identification study stage, differed metallurgical coal capacity in the Bowen Basin and successfully completed divestments at a premium to valuation. As a result, our balance sheet remains strong, and we have maintained financial flexibility. Importantly, we will remain disciplined. Turning to our results. The 2013 financial year presented its share of challenges for the resources industry. Within BHP Billiton, we have been driving the business hard to ensure we deliver promised production growth and material cost savings. There are 5 broad topics that I will cover today. I will highlight specific items included in our financial results, work through our usual waterfall analysis, making special mention of the substantial high-margin volume growth achieved this year. I will drill down into our $2.7 billion reduction in controllable cash costs, which increases to $3.4 billion with the inclusion of lower-priced link costs. I will highlight the discipline that we have applied to portfolio management and the decline in capital expenditure planned for the 2014 financial year; and finally, tax and exceptional items. Let's start by providing some information to assist with your understanding of our accounts. Non-reoccurring charges embedded in depreciation and amortization included an $83 million impairment of the Mad Dog Phase 2 project that was triggered by the suspension of engineering and design studies. And an $86 million write-off of project costs associated with our outer Tug Harbour project in the Pilbara. Separately, a $77 million charge included in underlying EBIT reflects our decision to terminate specific onshore U.S. drill rig contracts. The rationalization of drill rigs will allow us to focus even more intensely on the liquids-rich Black Hawk shale within the Eagle Ford. The revaluation of embedded derivatives largely associated with gas sales agreement at our Trinidad and Tobago operation reduced underlying EBIT by $235 million. Exchange rate volatility also led to a $90 million reduction in underlying EBIT. Our functional currency requires us to mark to market differences from monetary items through the profit-and-loss statement. Transactions associated with debt market securities issued in the 2013 financial year reduced pretax profit by a further $280 million. A positive noncash adjustment that relates to our Trinidad and Tobago production sharing contract partially offset these impacts and increased underlying EBIT by $152 million. Now turning to the key drivers of our results. We are managing the controllable factors within our business well. The combination of volume growth and a substantial reduction in controllable cash costs increased underlying EBIT by $4 billion. The major contributor to the decline in underlying EBIT was broad-based weakness in commodity markets, which reduced underlying EBIT by $8.9 billion. Bulk commodity prices had the greatest influence. A 17% decline in the average realized price of iron ore to $110 per tonne reduced underlying EBIT by $4.1 billion. A 34% decline in the realized price of coking coal and an 18% decline in the realized price of thermal coal reduced underlying EBIT by a combined $3.7 billion. A 5% decline in the realized price of copper and a year-end provisional pricing adjustment reduced underlying EBIT by $412 million. Conversely, our unique diversification and exposure to petroleum, again, pretty valuable. An 11% increase in the average realized price of natural gas and a 4% increase in the average price of liquified natural gas provided support at the revenue line. The theoretical natural hedge that exchange rate markets often provide broke down. Should recent strength of the U.S. dollar persist, we would expect to see the benefit flow through to our 2014 financial year results. Now to focus on the factors that we most influence: volume and costs. Strong operating performance across the business delivered a 7% increase in copper equivalent production and a $1.8 billion boost to underlying EBIT, a 13th consecutive production record at Western Australia Iron Ore and a spike in volumes to an annualized rate of 217 million tonnes in the fourth quarter. In short, iron ore was a major contributor. Our team moved quickly to capitalize on excess port capacity created by the successful commissioning of major infrastructure associated with the Inner Harbour expansion project. This included the deployment of 4 mobile crushers and the timely drawdown of mine and port inventory. In metallurgical coal, the strong recovery in performance continued throughout the year and resulted in a peak annualized production rate of 61 million tonnes at Queensland Coal in the fourth quarter. The growth in production of these 2 bulk commodities increased underlying EBIT by a combined $1.7 billion. In copper, we benefited as the average grade of ore mined at Escondida rose to 1.4%. This higher-grade material and a 12% increase in throughput following a major maintenance campaign enabled Escondida copper production to exceed guidance. Volume growth in the copper business overall increased underlying EBIT by $260 million. In contrast, lower convention oil production associated with fuel decline in Australia and extending drilling delays and maintenance at our nonoperated facilities in the Gulf of Mexico reduced underlying EBIT by $266 million. Now let us turn our attention to costs, controlling costs. Around 18 months ago, we recognized the need to take a hardline on costs, and project reset was initiated. Its mandate was far reaching. We scrutinized contractor usage and rates, our maintenance activities. We scrutinized general overheads, supply agreements for consumables. We scrutinized our discretionary spend and the potential for broad reaching productivity gains. While we haven't and don't plan to provide a cost savings target, we continue to make strong progress in this critical area. As you can see, we reduced our controllable cash costs by $2.7 billion in the 2013 financial year, an outstanding result. In mining terms, this equates to a meaningful 7% reduction in unit cash costs during the period based on copper equivalent metrics. The re-scoping of contractor activities and the renegotiation of some contracts delivered meaningful results. For example, the reduction of contractors at Queensland Coal decreased our controllable cash costs by approximately $140 million. A general improvement in maintainer productivity, fewer dragline shutdowns and the transition to owner operator at our Poitrel Mine accounted for a substantial reduction in maintenance costs. Importantly, these initiatives have restored Queensland Coal to profitability despite the sharp correction in prices. Elsewhere, the 24% improvement in the ore grade mined and substantial increase in throughput at Escondida delivered the majority of the mining-related reduction in controllable cash costs. Back in May, Andrew discussed a substantial increase in our resource base defined over the last 5 years, which has given us even greater confidence that we have the orebodies and the reservoirs required to maintain and grow our business for decades to come. This has allowed us to reduce brownfield minerals exploration expenditure by nearly 40% during the period. In addition, we have rationalized our greenfield program to focus on copper and high-value conventional oil and gas prospects predominantly in the Gulf of Mexico and Western Australia. So we have made major progress on costs in all areas, and I'm confident there is more to come. Now turning to our investment program. Our capital and exploration spend remains steady at $21.7 billion during the 2013 financial year, inclusive of sustaining, minor and growth expenditure, excluding deferred stripping. Given the pending change into the accounting treatment of deferred stripping, we have reported capital and exploration accrued expenditure in 2 ways in the appendix: firstly, in the same way as previous disclosure; and secondly, excluding deferred stripping. We will focus on the latter number in future presentations to ensure you have a true indication of investments being made in projects and exploration in isolation. This is an accounting change only and will take effect this year. There will be no impact on cash flow, but there will be an uplift of the profit-and-loss statement and an associated increase to the rate of capitalization in the short to medium term for deferred stripping. With regard to major milestones, Western Australia Iron Ore annual port capacity increased to 220 million tonnes during the period, while Orebody 24 achieved first production. In Queensland, the Daunia and Broadmeadow Life Extension projects delivered metallurgical coal ahead of schedule. And first coal was loaded from the new Newcastle Third Port Stage 3 project. The majority of our 19 major projects in execution are expected to deliver first production before the end of the 2015 financial year. It is these projects that underpin the future growth of our business. Capital and exploration expenditure of $16.2 billion is projected for the 2014 financial year. This excludes deferred stripping and represents a 25% year-on-year reduction in expenditure on a like-for-like basis. In our Onshore U.S. business, we can confirm capital expenditure guidance of $3.9 billion for the 2014 financial year. The vast majority of this spend will be directed towards a liquids-rich Black Hawk, while our appraisal program in the prospective Permian Basin will continue to be optimized over time. As you would expect, these plans are formulated with great care and discipline. We have to get the balance right. We have made the tough but necessary decisions required to maximize value for our shareholders, and we have maintained financial flexibility. Let me provide some more examples. The Mad Dog 2 project is being rescoped. We are promoting a measured approach at Scarborough along with our partner, and we have continued to modulate our spend in potash. The $800 million annual investment at Jansen fits within our reduced expenditure profile. Just as we have been investing in the business, we continue to simplify for value. We divested Pinto Valley, our diamonds business and the Yeelirrie uranium deposit, as well as our interest in Richards Bay Minerals and Browse. Our simplification drive also led to the extension of our long-term joint venture agreement with our Japanese partners in the Pilbara. Given the strength of our balance sheet, we can be patient, and we will be disciplined and we -- as we continue to simplify the portfolio. Now I want to pull this together. The combination of strong volume growth, substantial cost savings and the continued success of our divestment program has strengthened the financial position of the company. Growth in net operating cash flow in the second half of the financial year underscored the level of improvement and benefited from a $1.1 billion reduction in working capital. As a result, gearing declined by 2% in the second half to 29%. Given our robust financial position, prospective growth in free cash flow and the power of our diversified strategy, we raised our final dividend to USD 0.59 per share. This takes our progressive base dividend for the year to USD 1.16 per share, a 4% increase year-on-year. While we don't target specific short-term metrics, this equates to a dividend payout ratio of 52%, which is equivalent to our 10-year average annual payout of 48% inclusive of share buybacks. Before moving to tax and exceptional items, let me restate, if our investment criteria cannot be met in any one project, product or geography, we will redirect our capital elsewhere or we will not invest. This scenario could result in even lower rate of investment and even more capital being returned to shareholders. And as many of you know, our progressive base dividend has often been supplemented by other forms of capital management in the past. This brings me to the topic of tax. We paid $8.5 billion of income and royalty-related taxation and $2.7 billion for other production royalties. The royalty-related taxation included Mineral Resource Rent Tax of $200 million in the period, and a further $140 million MRRT payment was made in July. Tax has had a significant impact on this year's profit. Our effective tax rate, excluding exceptional items, increased temporarily to 39.3%. The unique geographic mix of our earnings in the period proved to be an important consideration, as did royalty-related taxation. In fact, royalty-related taxation of $1.2 billion represents an effective tax rate of 6% in isolation. In addition, exchange rate movements increased our effective tax rate by 1.6% or $315 million. Based on our current projections, our tax expense including royalty-related taxation as a proportion of pretax profit is expected to decline to a range of 33% to 35% in the 2014 financial year. This guidance excludes the potential influence of exchange rate movements and adjustments to deferred tax balances associated with the MRRT. Finally, exceptional items reduced attributable profit by $922 million to $10.9 billion. Items bought to account in the second half of the financial year included a further impairment charge at Nickel West, a gain on sale following the divestment of our interest in the Browse joint ventures and an impairment of specific evaluation wells drilled in the Permian Basin where performance did not support economic development. So in conclusion, our company is performing well. We continue to generate strong margins at this point in the cycle. We are in an enviable financial position having had major success with volume, costs and divestments. And now I would like to hand back to Andrew.
Andrew Mackenzie: Thanks, Graham. I will now discuss the outlook for the global economy and commodity markets before describing our plan to deliver superior returns to our shareholders. Softer Chinese trade and manufacturing statistics provide evidence of the transition underway in the economy. In the short term, we are confident of GDP growth in China of 7% to 8%. Employment and income growth remained strong. The government has room to pursue its reforms that will enable stable long-term growth. Capital stock per person for both steel and copper is less than 1/3 of the amount installed in the U.S. economy. So in the next 15 years, we expect global demand for commodities to grow by up to 75%. In the United States, the recovery in housing and equities markets has strengthened household balance sheets, and we are optimistic that the recovery in the U.S. economy will continue, although it will be important to monitor the impact of the unwinding of QE. So demand is robust. Now to supply. Each commodity is different since the availability of resources, the geopolitical stability of the major-producing regions and trends in capital investment all vary. Capital expenditure has fallen across the industry. For example, there has been a sharp decline of major mining equipment -- sales of major mining equipment, which is one of the best indicators of future supply. In the medium term, this will inevitably lead to lower growth in supply and to more balanced markets. And the companies that will prosper are those able to invest prudently throughout the cycle. As demand patterns evolve given our commodity exposure across steelmaking, metals, energy and food, we are very well positioned, but we cannot be complacent. We continue to simplify our business in order to become a more productive and more capital-efficient organization. We recently implemented a new organization structure. We removed a layer of management to create a direct line of communication between the center and operations. We compressed the number of businesses into 5, immediately reducing overheads. We consolidated energy and metallurgical coal, petroleum and potash, as well as aluminum, manganese and nickel. And given our decision to focus greenfield exploration from minerals exclusively on copper, only in Chile and Peru, we have integrated minerals exploration into our copper business in Santiago. We continue to increase our focus, our focus on our major basins, our 4 pillars as we like to refer to them, iron ore, petroleum, copper and coal, which together with potash provide optimal diversification. The longevity and expandability of the operations within these 4 plus 1 pillars enables us to develop plans to grow cash with a chiefly internal or organic focus. And I'll now discuss production, productivity and projects for each pillar in turn. Iron ore. Our ability to invest when others could not has delivered consistent growth at our operations in the Pilbara. In the 2014 financial year, we expect production to increase to 207 million tonnes on a 100% basin -- basis. Including Samarco, our share of iron ore production's expected to rise by 11% to 188 million tonnes. Solid numbers claim to meet strong demand. Here, we display the train load-out utilization at our Newman mine, which has improved by more than 20% from just April to June this year. Our 35 million tonne Jimblebar Mine is ahead of schedule, and we expect to deliver the first tonnes in the fourth quarter of this calendar year. On completion, total capacity will rise to 220 million tonnes. And the expansion of Jimblebar to 55 million tonnes, together with broader capital efficient growth, will deliver annual capacity between 260 million and 270 million tonnes. With our major-enabling projects in iron ore now largely complete, we are focused on maximizing throughput and utilization to extract significantly more value. Petroleum. For the 2014 financial year, BHP Billiton share of production is expected to increase by 6% to approximately 250 million barrels of oil equivalent. This includes 15% growth in Onshore U.S. volumes despite a reduction in the number of rigs to an average of 25. The majority of these rigs will remain active in a Black Hawk region of the Eagle Ford and will secure a 75% increase in the production of liquids from the Onshore U.S. this financial year. The drilling program, as Graham mentioned in the Permian, has now defined our primary area of focus. And while these program is at a relatively early stage, the potential to build a significant business remains. This financial year, we expect to produce 4 million barrels of oil equivalent. We must significantly increase capital productivity across all our businesses, including petroleum. And this is particularly sought [ph] if we are generate competitive returns for the next generation of LNG and deepwater petroleum projects. We set our sights high. In our onshore oil and gas business, we are now drilling wells in the Black Hawk in 70% of the time took just 12 months ago. And this improvement has enabled us to reduce the number of rigs and maximize value with minimal impact on production volumes. Our conventional projects continue to make good progress. For example, our Macedon gas project in Western Australia started production last week. Copper. In the 2013 financial year, copper production at Escondida increased by 28% and is on track to grow to 1.3 million tonnes on a 100% basis in the 2015 financial year. Our total share of copper production will remain largely unchanged at 1.2 million tonnes in the 2014 financial year. During the 2012 calendar year, major maintenance was completed at Escondida, which improved the reliability of crushing and conveying so that in the 2013 financial year, the average daily throughput of crushing and conveying increased by more than 13%. Whether copper price continue to trade about $3 per pound, this is a great outcome. During the period, the Laguna Seca Debottlenecking project and completion of maintenance at Escondida increased throughput significantly. The OGP1 and all-out projects remain on schedule and budget. The new 152,000 tonnes per day OGP1 concentrator will replace the existing Los Colorados facility and is expected to commence production in the first half of the 2015 calendar year. The new concentrator will add valuable capacity, and the demos from the old concentrator will provide access to higher-grade ore. Coal. In the 2014 financial year, coal production is expected to increase by 3% so that our share of metallurgical coal production will rise to 41 million tonnes. Energy coal production is expected to remain largely unchanged at approximately 73 million tonnes. After years of challenges and disruption, our team has led a rapid turnaround at Queensland Coal and returned our leading metallurgical coal business to profitability. A significant component of the group's total cash base is made up of the movement of material. And here, we show the utilization of our trucks at Goonyella mine, which has improved by 25%, and this was made possible by our systems, which now track performance down to the individual operator and up to the fleet level and so allow us to plan on maintenance more precisely and more effectively. Within our metallurgical coal projects close to completion, we are shifting our focus to increase the throughput of the total supply chain from minimal extra growth capital. Daunia and the Life Extension project at Broadmeadow achieved first production in quarter 3 ahead of schedule. The 5.5 million tonne per annum Caval Ridge mine is on track with first production expected in the 2014 calendar year. Together, these projects will increase Queensland Coal's capacity to 66 million tonnes per annum. After extensive review, the scope of the Hay Point Stage 3 Expansion project has been revised. It now excludes demolition of the existing trestles. Marine works have been the greatest challenge here. Unplanned weather interruptions and regrettable productivity issues have increased our share of the project budget by about -- by $255 million to $1.5 billion. First shipment is now anticipated in the 2015 calendar year, but the ramp-up profile for Queensland Coal that we shared with you before will not be affected. Having discussed our 4 pillars, let's now turn to potash. For decades, Saskatchewan has been widely regarded as the world's premier potash basin. In less than a decade, we have established an extensive landholding in this basin with vast quantities of high-grade potash and numerous options for greenfield development. This is a landholding unmatched anywhere in the world. The 5.3 billion tonne measured resource at Jansen is central to our plans, and longer-term options, such as Melville, Young, Boulder and Burr, offer substantial upside. We are confident in the long-term demand for potash. An expected growth of 2.3 -- 2% to 3% per annum to 2030 is part of our plans, and this is driven by increasing global population and greater economic prosperity, which will lead to changing patterns of food consumption and acquire high yields from increasingly constrained arable land. We have a long-stated preference for transparent pricing mechanisms that truly reflect the supply-and-demand fundamentals of any given commodity on any given day. In the case of potash, our projections have always assumed a shift away from the current marketing dynamic. To complete the excavation and lining of the production and service charts at Jansen and the installation of essential service infrastructure and utilities, we are investing $2.6 billion at an average annual rate of approximately $800 million. Completion of both shafts is expected during the 2016 calendar year. The associated works program will extend into the 2017 calendar year. On completion, we will have 2 shafts in the world's best-undeveloped orebody, capable of supporting a first quartile operation with capacity of approximately 10 million tonnes per annum. This will give us a substantially de-risked project and the flexibility to time our entrants to meet market demand. In the interim, to maximize returns and optimize the costs, we'll continue to improve the design for the development of the mine and the construction of processing and logistics infrastructure. We will pursue the development path that maximizes value for our shareholders. We may also sell a minority stake to one or more joint venture partners, which is consistent with our approach at many of our other major operations. In summary, our plan is in action right across the company. It is delivering results in terms of strong volume growth and substantial productivity leg cost savings. Over the next 2 years, our volumes are expected to grow in copper equivalent terms by 8% per annum. Our productivity agenda is now fully underway. We have reduced our capital expenditure by optimizing our investment pipeline for value. I will focus on those businesses that generate the strongest margins and the most favorable returns. Our pillars alone allow us to retain the benefits of diversification with unmatched simplicity. We can confidently manage our portfolio for value given our robust strategy, our unrivaled portfolio of resources, the caliber of our people and our well-developed plan for productivity, capital discipline, growth and portfolio management. Ultimately, growth in free cash flow is what drives us and will differentiate us and continue our track record of delivering superior returns to our shareholders. Thank you. So I'd now be pleased to take your questions, and we'll start in Sydney, go to London, and then we'll go to the phones.
Paul Young: Andrew, it's Paul Young from Deutsche Bank at the back here. Some questions on petroleum. I agree with the change in strategy on U.S. onshore assets on focusing on returns of your volumes. What about now that only 20% of your acreage in Eagle Ford is in the Black Hawk, so how long will it...
Andrew Mackenzie: I didn't catch your number there, Paul.
Paul Young: 20% of your acreage is in the Black Hawk. So the question is how long before you have to refocus back onto Hawkville, so the NGL and NGL-rich part of the Eagle Ford? And second question on your petroleum strategy, it's on -- more on the conventional petroleum strategy with exception of some future growth in the Gulf of Mexico, which is mostly non-operated of course. Most of your assets are actually in decline. With the minerals CapEx now peaked and declining, do you have any plans to revamp your conventional strategy?
Andrew Mackenzie: Okay. There are 2 quite separate questions. I think the important thing to say about things like the Hawkville is that the hydrocarbons aren't going anywhere, and therefore, we judge it's worth waiting a bit before we develop them and waiting for perhaps changes in the price outlook for gas. But equally important, we continue to make gains in productivity, and that, of course, drives the costs down. And if we can wait for them through learnings on what we do more in the Black Hawk and in the necessarily drilling we have to do for retention and as the industry evolves, then there will come a time when we want to go back to the Hawkville, perhaps with greater activity in drilling. But I can't foresee that just yet. Everything that we do has to compete within the, if you like, the capital ceilings that we're talking about. You have to compete against a lot of projects. And not only are we driven by value in our decisions and what we make in petroleum, we're delivering -- we're driven by that right across the portfolio. So the same answer really applies to your second part of your question. I mean, clearly, we have to find other areas of value that compete with the many opportunities to add value to our shareholders elsewhere in the portfolio that might attract some of our skills in conventional portfolio and weigh them up against not just the nonconventional portfolio but against the whole portfolio. And this is an active part, if you like, of the portfolio management we do. We like our pillars, but we do actually scout the world's geology all the time to see where we might get even better returns. And as we learn more, I'll tell you more.
Paul McTaggart: Andrew, Paul McTaggart from Crédit Suisse. A couple of assets stand out, aluminum and nickel. We've had operating losses, EBIT losses for a couple of years now. You've obviously written nickel down to almost nothing, nickel waste. What can we expect here in the next -- across or the next year given that we've had 2 tough years now and...
Andrew Mackenzie: I'm afraid more of the same. I mean, these businesses are run very much for cash. They received no major investment in capital, and they are challenged always to remain cash positive. I can tell you in the way we're set up, they're not a distraction to management, and there is something there that is harder to manage. Of course, they've been under the most stress for longest. And some of the best ideas for improving productivity and managing cost come from those businesses. And I'm working -- we're working very hard to transfer them right across our company. So it's -- for now it's more of the same to make sure that they wash their face and who knows. I think we should take questions now from London. Any questions from London?
James Gurry: James Gurry, Crédit Suisse. I just wanted to ask a question on the potash. We see the new investment. It might be slightly larger than what some people thought. Can you give us further thoughts on the development of the market and the further development of this project? And if you are going to introduce a minority partner, are you thinking more like of an offtake agreement potentially for someone to take that product from you? And also just on the size of the project, can you just confirm it's 10 million tonnes per annum because previously I thought it might be about 8 million tonnes per annum, the maximum capacity potential?
Andrew Mackenzie: Okay, okay. Well, you might need to help me remember all 4 of your questions, but let me start, perhaps, towards the end there. The 10 million tonnes per annum has come because that is the capacity, if you like, under conventional mining techniques that we effectively will reach running up through the shafts that we're building. And we've just played around and continue to play around with how we optimize the ultimate development of this orebody. And for now we've come up with 10 million tonnes per annum as being the optimal way to extract the most value. But we're not done here. We continue to work on the engineering, how we'll construct, how we configure, and we have, through this approach, given ourselves more time to work here. We're still very much in feasibility. So that's -- for now I mean, we're looking at a relatively straight-forward arrangement with potential partners who will come and take a minority share of Jansen and be very much a partner like we have in our petroleum ventures like we have in Escondida, like we have in iron ore, kind of fairly standard arrangements. You wanted a bit more detail on the market. There's not much more than I can add to what I said. I mean, first off, we do see this growing around 2% to 3% per annum for decades to come. We anticipate that in sometime. 2020 onwards, there will be the need for a new greenfield mine. We think this could be Jansen. We can't be absolutely sure how that demand will evolve, and that's why we don't want to make a firm commitment and time yet as to when to we'll push ahead with the construction of the mine itself. Does that answer all your questions?
James Gurry: Yes, I think that's great.
Andrew Mackenzie: Anything on the phones?
Operator: Your first question comes from the line of Clarke Wilkins from Citi.
Clarke Wilkins: I guess, a couple of questions. First off, the impairment on the Permian from the drilling there, does that have any impact on the previously stated sort of production goals in terms of the ramp-up of -- from those assets? And also, can you just sort of give a broad data in terms of the iron ore in Western Australia, the pathway sort of from 220 million to 250 million and 270 million, what sort of timeline we're looking at for the ramp-up of that capacity?
Andrew Mackenzie: Okay. I mean, I actually have Jimmy Wilson with me here in Sydney, and I'd like him to maybe answer the second question. I'll handle the petroleum question if I may. Clearly, in the way that we are reconfiguring things, managing for value rather than for volume within our onshore petroleum, there may be adjustments to the volume profile. As we continue with our development process, we refresh our investments, we'll keep you updated as we go along. Jimmy?
Jimmy Wilson: So I mean, I guess the port is now configured to 220 million. We bring optimum online, that's 35 million tonnes per annum, and that gets the mining configuration to 220 million. And then going beyond that, we're going to go through a process of de-bottlenecking, whereby we'll understand where the bottlenecks are across the whole system, focus on where we can get the biggest gain for the least amount of capital spend so obviously, focus on the highest IRR opportunities and take those opportunities and progressively move the whole system up that line. We haven't defined all of that, but we're reasonably confident we'll be able to get to that sort of level of capacity in the mining configuration. We know rail is definitely good for it, and I guess, port is going to be the challenge. And the challenge there is specifically in the stockyards between -- the stockyards between the car dumpers and the ship loaders, and that's going to be the focus. The rate at which we'll go will be the rate at which we're able to access capital from the company, from the organization, and obviously, to do that, we're going to have to compete against the rest of the capital, and this is what Andrew's done with raising the bar in terms of the reduction in capital available has made us be more focused and sharper on the projects that we put up.
Andrew Mackenzie: Does that answer your question, Clarke? Okay, seems so. Another question here.
Operator: The next question comes from the line of...
Andrew Mackenzie: No, I'm going to take a question from Sydney, and then I'll come back to the phones, okay.
Craig Sainsbury: Andrew, Craig Sainsbury here from Goldman Sachs. Just 2 questions from me. One for the one on potash, just for the $2.6 billion that you're spending. Can you just give a breakdown of what that actually -- I know you're going to finish the shaft, but the split between shaft and surface infrastructure? There's probably 2 other drag on how much more capital, but is there any comments on sort of how far down the path this gets you? And the second question, just on costs. There's probably one more for Graham. If I strip out the sort of the exploration and the business development costs from the $2.7 billion, you get down to about -- it was about $1.2 billion coming from sort of pure mining cost savings. And if I heard Graham right before, he said about $600 million of that roughly was from the grade recovered at Escondida. So if you look at that, it's probably running about $600 million of that sort of true mining cost savings that you've got. So just wondering is that a fair reflection of what's been dragged out of business so far and then sort of how far along the path of cost savings do you think you are from the sort of pure mining perspective given that the lay-off people, et cetera, your [ph] hanging fruits probably have been picked off so far?
Andrew Mackenzie: Okay. I'll say a little bit on that and then hand it to Graham to offer some more details. But just on your potash inquiry, I mean, as well as the shafts, we're looking at a lot of the infrastructure that comes on to the site, so we're working very much with the utilities in Saskatchewan to bring water and power primarily onto the site. So that when we actually get down to delivering facilities and they can be hooked up pretty quickly. And also, there's a little bit in there for actually developing a port and logistics opportunity. I won't split down for you, but because the majority is on the shafts and it's a few hundreds of millions on the other things as well. On the cost savings, Craig, I mean, I like Graham to handle the detail. But I'd just say, of course, some of the early wins tend to be more down to the things that we can do by focusing our portfolio. But now we get going with what we're doing better, more is likely to follow on. Maybe, Graham, you want to pick that up.
Graham Kerr: Thanks, Andrew. And Craig, I think, look, Andrew started the response well. Clearly, when we first started this exercise 18 months ago at project reset, there was a lot of the low-hanging fruit, which is basically cost out of the business relatively quickly. But I think it's important to probably focus on 3 critical items when we talk about cost out of the business. Look, there is no doubt one, there's a piece of basically reducing our overheads, negotiating our contracts, and that's been well underway for a period of time and is delivering results. I think, the second piece, which is tied to the point that you sort of pulled out, Craig, around volume increases and as Andrew sort of alluded to on a couple of his slides with regards to met coal and other parts of the business, there have been substantial changes in what we call the productivity drivers that are allowing us to basically dilute those fixed costs by getting more tonnage and getting that tonnage out of the cheaper rate. So I think you can't really divorce the cost and the volume increases because it's all about how we drive the productivity. Your third comment around exploration and business development expenditure, we're absolutely transparent about what we pulled out on the business around exploration business development. But I think people need to be very conscious that when we talk about this, we're in the unique position that most of our growth opportunities, our brownfield operations and most of them are basically located in the OECD basins of the world. So we've done a lot of work over the last 5 years to basically develop the resource base, and the reality is we have more than enough resource in most of our commodities, so we don't need to spend more money on expiration and business development. Their real cost saving's coming out of the cash line.
Andrew Mackenzie: Okay, great. So we'll take another question from the phones, and then we'll go back to London.
Operator: The next question comes from the line of Peter O'Connor from Bank of America.
Peter O'Connor: Andrew, the growth rate you mentioned on the call of 8% over the next 2 years, that's lower than the 10% that's previously been discussed. I think it was during the FY '12 or the first half '13 results. I just want to understand why that stepped down. That's my first question. Secondly, petroleum guidance is 250 million Boe, looks light compared to most people's expectations. Why? And thirdly, just to the prior question about iron ore, what has been approved? Is it up to 220 million? And what Jimmy just talked about, what approvals are required to take that further? And can you give us some more granularity on the timeline of those approvals from those debts?
Andrew Mackenzie: Okay. Well, I mean, again, as Jimmy's here, I'll -- he'll handle the iron ore question. You actually kind of answered your first question with your second question. The majority of the shortfall is in petroleum, and it was going on in Mad Dog in Atlanta so -- and that absolutely continues, particularly in Mad Dog, into this financial year. We continue, obviously, to work to correct that, but of course, we're not the operator. And for more detail, you need to talk to BP. Jimmy, you -- I guess, a quick answer to the approvals thing.
Jimmy Wilson: Yes. Look, I mean, I'm going to repeat a little bit of what I said earlier, but I guess, I mean, maybe just to make this a little bit more granular. Look, the key focus is our ports and the configuration that we have in our port, and it's -- and really, it's the network between our car dumpers and the ship loaders. And that's really going to be the first piece of the focus in terms of capital deployment. And then we will put together a project there, which initially will be a step towards, obviously, the ultimate goal of 260 million to 270 million, and that'll be stepping up off the 220 million. And sorry, you asked that question, as well you said what has been approved. Well, 220 million has been approved, and we feel that with -- through de-bottlenecking, we may be may be able to get a little bit beyond that over and above the leveraging the capital that we've actually deployed in the past. So the first tranche will be in the ports. And then from there, we'll have some tranches of capital in our mines to match that and progressively move up. So it's not absolutely laid out because it is really leveraging large tranches of capital expenditure that have been made in the past, and really, what we're focusing on now is about de-bottlenecking and de-bottlenecking in very, very focused areas. I hope that answers the question.
Andrew Mackenzie: I mean, I'd just add to that, Peter, I mean, obviously, the Jimblebar component, which takes us to 220 million, has -- 35 million tonnes has been approved. Beyond that, in Jimmy's further answer, you'll have to compete with capital with other parts of the businesses. But also, I expect that more may come, from Jimmy's drive on productivity, trying to get more throughput and more availability from what we've installed and what has been approved to be installed. Some question from London?
Anna Mulholland: It's Anna Mulholland from Deutsche Bank. I have 2 questions on Escondida, please. Can you comment on the sustainability of the grade improvement? What do you have in the mine plan over the next 3 years or so? And then more short term on the strikes that have been occurring, what's the issue there and how likely are they to continue to occur?
Andrew Mackenzie: Sure. I mean, our average grade last year was 1.4%, and that's been enabled by getting access to higher-grade ore as a result of moving a crusher out of the pit, which was associated with the Laguna Seca Debottlenecking activities that I referred to in my talk. That is sustainable for a while. And as we continue with OGP1 and demolished the Los Colorados as a concentrator, that will give us access spot to equally high-grade ore that will carry things on probably close to the end of this decade. Thereafter, we will have to invest more to maintain the current level of the projected level, if you like, in the next 2 or 3 years of copper production by processing much higher volumes of lower-grade ore. And that's very much for the future, and nothing has been really scoped out yet. It's part of our planning of course. The strikes that you referred to, but there's only 1 so far, which has been a 24-hour strike. It arises around a discussion, I would say, that's happening between management and the workforce around the payment of what is sometimes called the fiscal year bonus. That bonus is traditionally being paid at this time of the year often to reflect relatively high margins driven by copper price. We have a new agreement with the workforce where we relate much more closely bonuses to gains and productivity in line with, if you like, our overarching agenda. And we continue to discuss with the workforce and with the unions what this means for the size and the payment of the fiscal year bonus. So that's where some of the, if you like, debates are happening at the moment. And obviously, our intention is to try and resolve this in a way that everyone benefits. Yes, I have a quick -- another question here in Sydney.
Adrian Wood: It's Adrian Wood here from Macquarie. Just 2 questions. First of all, on Jansen, you mentioned in your presentation that Jansen will be a top-quartile asset once on stream. And obviously, the board has signed off on this $2 billion -- $2.6 billion incremental investment. So I'm guessing that you must, therefore, have an assumption that you're using for the full life of development cost of this mine. Can you give or shed any light on ultimately where you're expecting the full cost to be? Also just on the dividend, the rate of progression, I think, it's the lowest we've seen since the Billiton merger at only 4% this year, and yet, the payout is, I think, the highest we've seen over that period as well. Is this the new normal? Is 4% what we should expect going forward? It's obviously much lower than we've seen over the last time?
Andrew Mackenzie: Okay. Let me just deal with the second question first. I mean, thank you for acknowledging the payout ratio. I mean, Graham, as he referred to it, depending on what time period, it's around 50%, which is not as high, but I think it is pretty healthy compared to many of our of competitors right across the sectors that we play in. I wouldn't take this as a predictor of the future. I think it's what we feel is the appropriate thing to do in this period given the outlook that we see, given the volatility of commodity prices and the overall way in which we want to manage capital into the company and back out to shareholders. But we'll continue to talk to you and talk to our owners about that. I won't give you a price or a cost, if you like, for the full potash projects. You probably wouldn't expect me to, but I mean, clearly, we wouldn't be doing this if we didn't believe that this was a project in the long run was going to be hugely competitive, and they earn very substantial returns. And I can tell you that I'm very confident that what we have in our hands there is something that will benchmark well in terms of capital intensity and certainly, match up to the one project that's currently under construction in Saskatchewan, the legacy project. And their number, I think, is around $14.25 per annual tonne. I also am very confident that we're going to delivering something there in cost terms, will be central to the, if you like, the top quartile, the lowest quartile of costs in the industry as we see it today and going forward. And everything we're doing by giving ourselves more time, by using our productivity agenda to drive down capital costs and drive down operating costs means we're only going to improve from where we are today, and through that improvement, we may say something if the market is right that we would time our entry appropriately with a hybrid-term project to our shareholders. I'm going to just to check around again, and we'll come back. Anything more on the phones?
Operator: The next question comes from the line of Lyndon Fagan from JPMorgan.
Lyndon Fagan: Look, just a question on Jansen. Can you talk about the likely phasing of production? Is it still in potentially in 4 million tonne increments? And just with the minority sell-down, I was just wondering if the project has competed for in one CapEx against the rest of the business, then it clearly, potentially has good returns, so why sell down a minority stake.
Andrew Mackenzie: Okay. I mean, good questions. I mean, the minority stake thing is not about necessarily offsetting the capital cost. It's because we often find that we get the right partners that it actually enhances the performance of the project. We've seen that with Rio Tinto at Escondida and many of our partners in the petroleum space. So we're looking for a similar model as we go forward that a partner who would bring something to the project that we wouldn't otherwise -- we wouldn't -- won't either be able to do that. I mean, clearly, by getting a value for the project, then it will help to crystallize some aspects of how you and others might think about the value that we are creating. Now I've forgotten the first part of your question, sorry, Lyndon.
Lyndon Fagan: With sizing of production in [indiscernible] essentially, importance of timing [ph] [indiscernible] ...
Andrew Mackenzie: Oh, yes, sorry. I mean, I don't know. I mean, we've talked about that, but because for now, all we're doing is committing to complete the shafts and some of the associated infrastructure, leaving the rest of the project in feasibility, then, we will continue to tweak things to drive more value and high capital productivity. And that'll obviously inform the appropriate phasing to get that for our shareholders. Okay. One from London.
Unknown Analyst: It's [indiscernible] from Bank of America Merrill Lynch. You talked about comparing or benchmarking the capital intensity of Jansen versus other potash products out there. I was just wondering if you've done some exercise benchmarking just capital intensity versus the market value per tonne of also existing potash producers?
Andrew Mackenzie: Yes, we have. And you would expect us to do that, but one thing is you can accommodate the things like that is the fact that if anything ever became in play, they might change the price dramatically. And there is nothing that you can do in the market that is really completely comparable with what we could do in Jansen.
Andrew Hines: Andrew, it's Andrew Hines from Commonwealth Bank. Just a question about the portfolio simplification process. Just wondering how you're thinking about a couple of asset classes, the manganese assets now that you've moved them in with aluminum and nickel, which was previously described as running these businesses for cash. What's you're thinking around manganese? Does it belong in the portfolio? And then secondly, thermal coal assets, some of them are good. Some of them are less good. Some are pretty poor. How do you think about thermal coal in the portfolio now?
Andrew Mackenzie: Okay. Well, we would put manganese along with aluminum and nickel because it's predominantly a processing business as opposed to a straight or pure geological business. They have comparable skills certainly in financial terms, and we did feel that they would benefit from each other. Despite perhaps its relatively higher profitability, particularly here in Australia, we have no plans to expand our manganese business. Our plans are very much to consolidate with what we've got, and that's been the case for some time, I mean, little bits of creep that we have done. So I think they are strong. They operate well together, and that's why I made that choice. On energy coal, you're right, we have a range of assets, and we're always trying to increase the tier oneness of what we've got, so that, clearly, is a factor when we're looking at the possibility of further simplifying the portfolio. But I don't want to go further than that today. I'll take a quick other question here from Sydney. I'm sure it'll be quick, Glyn, okay. Go ahead.
Glyn Lawcock: Actually, it was a bit, sorry. Just 2 questions. Glyn Lawcock of UBS. The first one was just on the capital reduction that you've outlined, how much of that was FX related if there was any in that CapEx reduction? And then just, I guess, we've got Mike here, I just thought while Mike's here, if he can -- I know he's moved. He's now got marketing reporting to him. Any insight or more granularity around China and what's happening more so in the steel and iron ore space there?
Andrew Mackenzie: Okay, well, why don't we let Mike answer first, and then I'll come back to you on the comment you made.
Mike Henry: So in terms of steel and iron ore in China, Glyn, the steel production has been running above where we thought it would be running at this time of year. We think we understand why, and it comes down to strong investment and strong construction. I think in terms of iron ore, that simply through to iron ore demand and iron ore pricing, and it's come against the context of some constraints on domestic supply in China as well. We're not forecasting that, that's going to continue on ad infinitum. We think that in our long-run view around China, China steel demand and iron ore demand hasn't changed nor has our view around long-run fundamentals for iron ore. Now in terms of the short-run outlook for iron ore, I can probably couch it best by referencing back to meetings directly with customers. And when I was there a few weeks ago, there was a quite confidence on the part of customers. So what we're seeing there right now is an indication of relative health in the Chinese economy and much less concern around the potential for hard landing now than there would have been a few months ago.
Andrew Mackenzie: I think on your first question, I mean, unless Graham has the number at his fingertips, I don't think it's it a big consideration, Glyn, the FX thing. We draw the capital down through challenging each other through causing what we were going to do to become more productive and then only doing these things, which really pass through a number of our filters. I mean, FX, I think, was a very smaller -- more small factor on that. Graham, I don't know if you want to add to that.
Graham Kerr: Andrew, you're right. It wasn't really a material factor.
Andrew Mackenzie: That's what I thought. And do we have anymore questions in London? No. How about the telephones?
James Gurry: Can I just do a follow-up question in London? It's James Gurry here from Crédit Suisse.
Andrew Mackenzie: Is there a question from London? We' take the telephone then.
James Gurry: Yes, there is.
Andrew Mackenzie: There is. Okay, go ahead, London. Then, we'll take the telephone one next.
James Gurry: It's James Gurry here again from Crédit Suisse. I just wanted to follow up with the U.S. onshore, the shale business. You're guiding to CapEx of about $3.9 billion. That's pretty much in line with what you guided for FY '12 at the start of the year. Can you tell me how much that relates to the Permian and when we're likely to see more information about the potential of the Permian given that a lot of the peer group in the Permian, there seems to be a fair bit of excitement about the potential in the drilling and the activity there in the U.S. at the moment?
Andrew Mackenzie: I don't have that number. I mean, I'll ask our Investor Relations team to figure out whether that's something we'd like to share. It's not a big part of our capital investment. We're taking things slowly and deliberately with the Permian. It's a very large area with a very thick, many hundreds of meters, I think almost 1 kilometer in places of prospective shale. There's a lot of variation, and I think we're all -- all the operators are figuring out, which are the more prospective areas given current prices, current understanding and is to focus. And so we're playing the long game in the Permian. And in the meantime, we're pushing as hard as we can where we think is practical to maximize liquids yields, particularly out of the Black Hawk part of the Eagle Ford. Question from the phone?
Operator: The next question comes from Caroline Learmonth from Barclays Capital.
Caroline Learmonth: Just a quick question on the listing structure. Are you having a look at change in the DLC structure in the short term?
Andrew Mackenzie: No. I mean, many people have suggested that, but we have a great share register, which benefit -- which is the result of having a dual listing structure, and we're very grateful for it. And for now we just enjoy that and look after our shareholders in both the limited and the plc parts of our company. Another question here in Sydney? Yes, go ahead.
Mike Harrowell: Mike Harrowell, BBY. Just on iron ore, why was there any money written off at all in that very profitable business given that probably any project you investigated there would ultimately be worth something?
Andrew Mackenzie: I mean, Jimmy can correct me if I'm wrong here, but I mean, essentially, we were looking at different ways in which we might run the harbor. We had gone some way down a certain path, and Jimmy's drilling people figured we could do an awful lot better and an awful lot cheaper, so we decided to changed tack [ph] . And we couldn't fully use the capital we have invested on the new and what we think is higher-value tack [ph] going forward. Simple as that. Okay, with that?
Jimmy Wilson: Yes, I think that's right, Andrew.
Andrew Mackenzie: Okay. Probably just one more sweep of the phones and London, and then I think we should finish. Anything more in London? Okay. Anything more on the phones?
Operator: Your next question comes from the line of Peter Harris, JCP Investment.
Andrew Mackenzie: Okay. Peter will make use the last question, so looking forward to hearing it.
Peter Harris: I'll follow instructions and just ask one. Given the Australian elections coming up and the resource rent tax in what you just paid $200 million and the carbon tax are the big issues. While we focus on the mutual here in Australia, the rest of the world's printing money. U.K. is printing money. Japan is printing money. Now you've got quantitative easing in the U.S. If BHP had a choice and not I'm asking you to recommend policies, but if you had a choice between an AUD 0.80 and the continuation of the resource rent tax and the carbon tax versus steady as we go and abolish the carbon tax and the resource rent tax, it's obvious to me which one you'd choose. But just things with about the relativity wrong in terms our policy outlook. Can you comment on that?
Andrew Mackenzie: With difficulty. I'm looking forward to sitting down with whoever wins the election here in Australia, explaining my drive to make all our operations more productive, including here in Australia and how do they can create the right framework for that to happen. And at this stage, I don't want to say any more than that. So I think, thank you for all your questions. Thank you for listening and look forward to talking to you all soon. Meeting closed.